Operator: Good day, and thank you for standing by. Welcome to the Subsea 7 Q4 2022 Results Conference Call and Webcast. At this time, all participants are in listen-only mode. [Operator Instructions] Please note that today's conference is being recorded. I would now like to hand over to your speaker, Katherine Tonks. Please go ahead.
Katherine Tonks: Welcome, everyone. With me on the call today are John Evans, our CEO; and Mark Foley, our CFO. The results press release is available to download on our website, along with the presentation slides that we'll be referring to during today's call. May I remind you that this call includes forward-looking statements that reflect our current views and are subject to risks, uncertainties, and assumptions. Similar wording is also included in our press release.  I'll now turn the call over to John.
John Evans: Thank you, Katherine, and good afternoon, everyone. I will start with some introductory remarks before passing over to Mark to cover the financial results. Turning to Slide 3. 2022 was a year of strong momentum for Subsea 7. The increase in tendering activity that we've experienced a year ago translated into the highest level of order intake we've seen since 2013 at over $7 billion. This resulted in a backlog of $9 billion, up 25% year-on-year.  We have good visibility on revenue in 2023 and improve visibility on 2024 and 2025. As the year unfolded, and vessel availability became tighter, new awards began to reflect improved pricing. This underpins our confidence that EBITDA margins will return to a through-cycle range of 15% to 20% at the end – over the long-term. During the year, we made good progress in our strategies for both the Subsea and Wind businesses, which I'll recap later.  Turning to Slide 4 for an update on our progress on our largest projects in the fourth quarter. In Turkey, the Fast Track Sakarya project has reached 89% progress, up from 73% in Q3. Seven Arctic, Seven Oceanic, and Seven Pegasus were active throughout the quarter, and the project is nearing completion in Q1 2023. Sangomar reached 2% to completion as Seven Vega and Seven Sisters continued pipeline in Sangomar. In Brazil, we began operations for Bacalhau of the [indiscernible] school base and Seven Pacific commenced offshore operations. Procurement continued for Mero 3. Also in Subsea and Conventional, our major vessels were busy on the TOPR project in Trinidad and Tobago on Mad Dog 2 in the Gulf of Mexico, and they worked on a Hywind Tampen floating wind project in Norway. In Renewables, we had installed 93 foundations and more than 50% of cables for the Seagreen project by the end of December. This has increased to 105 foundations installed as of today, allowing us to demobilize our marshaling yard in Scotland. We remain on track to complete the work in the first half of this year. Finally, we continue to offshore activities on Dogger Bank A&B with the Seaway Strashnov and reached 33% completion. The vessel left the field for the winter season in early December as planned and will return this year to continue the offshore phase. Turning to Slide 5. 2022 saw the highest order intake since 2013 and a book-to-bill ratio of 1.4. The recovery in the market is illustrated on Slide 6, where you can see the momentum in our order intake and backlog. With an industry downturn followed immediately by the disruption of the COVID pandemic, the last cyclical downturn was prolonged, but the recovery is now well underway. On Slide 7, we break down the backlog by year of execution. Our visibility on the year ahead is at a similar level to prior years, as the visibility for year two and year three has improved markedly as vessel availability tightened, and clients began booking capacity well in advance to secure their project time lines. Turning to Slide 8, you can see our historical group margins. We have seen a strong improvement in the margins on the projects awarded during 2022, but sit in our backlog today. These projects will be executed in the coming three years, and will gradually draw margins back to the through-cycle range of 15% to 20%. And now, I'll pass over to Mark to run through the financial results in more detail.
Mark Foley: Thank you, John, and good afternoon, everyone. I will begin the financial performance review with some details of group and business unit performance in the year before returning to the group cash flow, guidance for 2023 and some comments on shareholder returns. Slide 9 summarizes the full-year performance of the group. As John has already discussed, we delivered strong order intake and backlog growth, driven by both new awards of $5.3 billion and by variation orders and escalations, which, together, represented $1.8 billion or 26% of order intake. Group revenue increased moderately to $5.1 billion as we continue to execute large projects in Subsea and fixed offshore wind. Adjusted EBITDA of $559 million was up 7%, compared with the prior year, and the margin increased 49 basis points to 10.9% from 10.4%, reflecting steady progress on major projects. A high effective tax rate due to a shift in operational profitability towards higher tax jurisdictions and the impact of recoverable withholding taxes, negatively impacted net income, which was flat year-on-year at $36 million. I will now discuss the drivers for the group performance in the next few slides. Slide 10 presents the key metrics for Subsea and Conventional. Order intake was $6.2 billion, equating to a book-to-bill of 1.6x and resulting in a backlog growth of [47%] [ph] to $8.1 billion. Key contracts included Yggdrasil, part of the Aker BP Awards in December in Norway; Búzios 8 in Brazil; Cypre and Shenandoah in the Gulf of Mexico; Gas to Power in Guyana; and CLOV 3 in Angola. Revenue was $3.9 billion, up 6% year-on-year, reflecting good progress on the Fast Track Sakarya project, Sangomar, Bacalhau, as well as our other large EPCI projects. Adjusted EBITDA was [$532 million] [ph] with a margin of 13.6%, up slightly from the prior year. This reflects a continued solid operational performance on projects want to reduce margins during the downturn. Selected renewables performance metrics are shown on Slide 11. Order intake was around $800 million, taking the backlog to $800 million. Seaway 7 has been awarded preferred supplier status on several projects, and these should rebuild the backlog over the coming months. Revenue was $1.1 billion, down 11% year-on-year, mainly reflecting activity on the Seagreen project. Adjusted EBITDA was $5 million, flat year-on-year, resulting in a breakeven adjusted EBITDA margin. This weak performance reflected challenges on the non-completed Formosa 2 project on the foundation installation scope of Hollandse Kust, despite good progress on Seagreen, [Hornsea 3] [ph] and [indiscernible]. However, the adjusted EBITDA margin improved in the fourth quarter to 12.9%. On Slide 12, we revisit our cost histogram that shows our cost segmented into four categories. 2019 and 2020 reflect the impact of the industry downturn followed by the COVID-19 pandemic and associated global economic slowdown. Since then, costs have trended upwards in-line with the industry recovery. Direct project costs are function of the volume, mix, and phasing of our activities and the pricing environment for procurement. In 2020, despite high inflation in the global economy, our procurement costs remained stable at $2.9 billion, reflecting the phasing of major projects and the back-to-back contract, subcontracts with our suppliers that lock in prices at the time of initial contract award. Our people costs increased to approximately $1.2 billion in 2022 as we expanded our engineering and project teams to address the continued increase in industry activity. Vessel and other costs increased to approximately $500 million. We ended the year with 36 vessels in our active fleet, up from [34] [ph] at the end of 2021, with the addition of sharp chartered vessels, including IRM and a heavy transportation vessel. Slide 13 shows the net – shows the cash flow waterfall for the year. Net cash generated from operating activities was $486 million, including a modest $27 million favorable movement in working capital. The working capital outcome was better than anticipated at the start of this year as a result of project rephasing into 2023, as well as management's further efforts to optimize cash. Cash conversion, measuring the – EBITDA into adjusted operating cash was 1.1x. Net cash used in investing activities was $220 million, mainly attributable to purchases of property, plant and equipment, including vessel dry docks and upgrades. This fell below our prior guidance of $420 million to $440 million, a stage gate payments in relation to the construction of Seaway Alfa Lift and Seaway Ventus [indiscernible] into 2023. Free cash flow in the period was $255 million. Net cash used in financing activities was $221 million. This included $111 million of lease liability payments mainly related to charter vessels. Return to shareholders of $78 million in the form of the regular dividend of [$42] [ph] million and $46 million partial completion of our $70 million share repurchase program. The remaining $24 million will be returned to shareholders as part of the proposed [$4] [ph] per share dividend payment in 2023. At the end of the year, cash and cash equivalents was $646 million and net cash was [$33 million] [ph], which included lease liabilities of $257 million. The group's liquidity included $1 billion of committed undrawn borrowing facilities at year-end. To conclude, Slide 14 shows our guidance for the full-year, and I'll make some comments regarding shareholder returns. Revenue and adjusted EBITDA are expected to be higher than 2022 where net operating income is expected to be in-line with last year.  Net finance cost is expected to be between $45 million and $55 million. This reflects the elevated level of reinvestment in the business in 2023, including the new build wind vessels, the SLB joint venture, and working capital commitments, which is amplified by the notable spike in borrowing reference rates over the last 12 months. Capital expenditure is expected to fall within the range of $625 million to $650 million. As I mentioned on the prior slide, this is higher than our prior 2023 capital expenditure guidance, due to some payments relating to Seaway Alfa Lift and Seaway Ventus. There is no change in our current view of the capital expenditure required for these two vessels. Lastly, the Board shares management's confidence on the outlook for the group and, as such, will propose a [form not per share] [ph] dividend at the AGM on the 18th of April, including the $1 per share regular dividend. This proposed dividend equates to a 3% dividend yield based on yesterday's closing share price of [NOK 145] [ph] or a 4.5% dividend yield based on the 12-month volume weighted average share price of [$90]. I will now pass you back to John.
John Evans: Thank you, Mark. On Slide 15, we have a reminder of our strategy. 2022 underscore the importance of both traditional and new sources of energy in addressing energy security and the energy transition. Under almost all transition scenarios, the development of low-cost oil and gas alongside growth in renewables will be essential to deliver reliable, affordable energy to the global population. Subsea 7's role across the energy landscape makes us an important contributor to this transition and more relevant than ever to our clients today. On Slide 16, we have a recap of the good progress we've made on our strategy this year. In Subsea and Conventional, we capitalized on our strong alliances with the evolution of our relationship with SLB that will ensure we are well-positioned for the future in Subsea, as well as generating an attractive stand-alone return. In the fourth quarter, our alliance with Aker BP yielded us our largest award with around $1.8 billion and demonstrated the benefits of collaboration from an early stage to optimize Subsea developments. Finally, in Subsea, we have long health strategy to own our key enabling assets. These are our largest and most capable vessels that are critical to winning and executing projects. Demand for these vessels increased in 2022 and tightness in their availability supported improved pricing and margins. In Renewables, 2022 had a couple of challenging [indiscernible] projects. And although the losses these generated were relatively modest in the context of the group, the performance was not acceptable. We have taken decisive steps to rebalance risk and award on our future contracts, and we are confident that our pre-backlog and our ongoing tenders will deliver an improved financial performance. We also recently agreed a collaboration with Saipem, targeting large integrated and EPCI projects. In our strategy for emerging energies, we also made progress. We attracted Orsted as a cornerstone investor in the Salamander floating wind project. We're moving into the execution phase of the Northern Lights Carbon Capture project. And through our subsidiary Xodus, we're building a presence in the hydrogen study market. Turning to Slide 17, I'll discuss the progress we've made towards our sustainability goals, which form an important part of our strategy across all our markets. Starting with safety, 2022 year for Subsea 7, achieving a very low lost time injury frequency of 0.01. Regarding emissions, we made good progress on the pathway to Net Zero, with a successful trial of clean fuels on the Seven Oceanic and a commitment to hybridization second vessel, Seven Arctic. We also made progress in our environmental initiatives with the national Oceanography Center with a further Two BORAbox sensors deployed in Brazil and Norway. This is just a brief overview of our sustainability initiatives, and you can read about them in more depth in our full sustainability report that will be published in March. Turning to Slide 18. This morning, Subsea 7 has announced the acquisition of 21.52% of Seaway 7 from Songa Capital, Lotus Marine, and West Coast Invest. All three parties have agreed to participate in exchange offer and receive one new Subsea 7 share for every 22 Seaway 7 share. Following the transaction, Subsea 7 will own 93.94% of Seaway 7 and has launched a voluntary offer with the same terms for the remaining shareholders. We believe the market significantly undervalues Seaway 7 and that this transaction will be value accretive to Subsea 7 shareholders. Moving to our customary review of our tendering pipeline, across the Subsea and wind businesses on Slide 19 and 20. Tendering remains very active, and we are very optimistic that 2023 will be another good year for order intake. The most active markets are Brazil, where we have a long list of prospects for both Petrobras and the IOCs. The Gulf of Mexico with multiple tieback projects in the [indiscernible] pipeline. Saudi Arabia, where we will bid a number of packages under the LTA; and Turkey, where we are building the second phase of [South Korea] [ph]. Overall, we are confident that we have a robust tendering pipeline that can support continued momentum in the Subsea recovery. On the next slide, we have our wind prospects. We are the preferred bidder, the East Anglia THREE and Seagreen 1A, and these sit in our pre-backlog, along with Hailong in Taiwan. In addition, we have a number of prospects that should mature in 2023 in the U.S., U.K., and Europe. Order flow in this industry remains lumpy, often subject to slow government processes, but it's clear that the underlying demand is strong, and we're confident that this market will grow strong revenue growth in long-term with improved project returns. To wrap up, we'll turn to our final slide on Page 21. In Subsea, we have a well-developed strategy that is delivering, and we are solidifying our position for the future. The strong backlog supports our confidence in the outlook for the continued revenue growth and a recovery in margins back to through cycle levels. In wind, we are poised for a long-term market growth with the rebalance from [indiscernible] that should drive improved profitability. Our own new-build program, in combination with our collaboration with Saipem on a job-by-job basis, should open up new opportunities in this evolving market. Finally, management's confidence in the future cash flow generation of the group is shared by the Board, which has proposed a dividend of [NOK 4] [ph] per share for a total return of approximately $110 million. And with that, we'll be happy to take your questions.
Operator: Thank you. [Operator Instructions] We are now going to proceed with our first question, and the questions come from of the line of Guillaume Delaby from SGCIB. Please ask your question.
Guillaume Delaby: Yes, good afternoon. Thank you for taking my question. I'm going to start with highly politically [incorrect the question] [ph]. So we all agree about the outlook for demand. I would like to speak a little bit more about supply because historically speaking, on the Subsea space, we used to have, let's say, highly [oil group] [ph] politic market with three players: Saipem, TechnipFMC and yourself. So, on the one hand, there is now a commercial agreement between Seaway 7 and Saipem. Saipem has an agreement for its fleet with TechnipFMC and you are increasing your stake in Seaway 7. So, my question is it fair to say that this oligopoly is even more oligopolistic than before. And this is probably further good news for pricing. So, I'd like maybe to have your comments about the supply for both fixed [off shoring] [ph] and for Subsea. Thank you.
John Evans: Okay. I think we've been in this industry for many decades, and so we have many lot competitors being there. We also need to remember the procurements have been a competitor for decades and continue to be a competitor in the Subsea space as well. So, I think that as we've discussed with our shareholders and the things that follow us over the years, we have seen a number of the smaller players fall-out through the last industry shape there, but I still think that there is a fair supply capacity in the industry. But again, what we're seeing is a number of our clients do want to secure the capability in terms of assets and people at the right time in the cycle. So, we're seeing projects being awarded earlier than they would have been 2 or 3 years ago, and we are seeing the margins improve. In wind, as we discussed previously, there are plenty of players in the wind sector, and it is supplied by many Tier 1 players, the large board dredges along with [indiscernible] and Saipem. Saipem and ourselves are only come together on a job-by-job basis for some of the very larger projects where the combination of the two capabilities is good and also from a risk-sharing viewpoint. Some of these larger projects need risk sharing between big contractors coming together. So, I think the supply side on both markets has a reasonable supply side at the moment. The question is the timing at which the industry picks up its work and when that's awarded. So, at the moment, I think we see two very different markets, win with a number of big players, the Subsea or four players in Subsea always have been, ourselves, TechnipFMC, Saipem and [indiscernible], and there continues to be four big players that continue to bid these projects. So that's how I would recap the market at the moment. Thank you.
Guillaume Delaby: Thank you very much. Very useful and [indiscernible].
Operator: We are now going to proceed with our next question. The questions come from the line of James Thompson from JP Morgan. Please ask a question.
James Thompson: Okay. Good morning, gentlemen. So, a couple of questions for me. Firstly, John, I mean, escalations have, obviously, been a very significant contributor to order intake this year. Obviously, pricing of materials and things like that have, obviously, grown in the way that means that those contracts do need to be varied. Could you maybe talk a little bit about risk of reversal of any of that in 2023? Obviously, the big tailwind can that become a bit of a headwind to order intake with fuel costs going down and things like that. Maybe you can talk a little bit about the escalations piece first.
John Evans: Yes, James. Yes, as we've discussed, we have a way of trying to pass risks that we can't control back to our clients through some escalation mechanisms. We have some hope and book mechanisms with our clients fuel. For example, we have mechanisms that can take fuel up and down. And those mechanisms work both ways. So yes, we show $1.8 billion of escalations this year through our books. And yes, they will go up, and they will go down as the market that we seek in protection also go up and go down. I view that as a very positive process. Our industry is about allocating risk to the right people that can take the risks. And so for us, we want to mitigate that risk. So, I would not bank on such a high level of escalations always coming through year-on-year, but those mechanisms are working as they were designed.
James Thompson: Okay. The second question is, I mean, obviously, this morning, you announced that you're kind of taking back in-house Seaway 7. I was wondering if you could maybe, sort of reflect on some of the sort of decisions you made in terms of OHT Seaway 7 over the past couple of years because it feels like maybe in another world, perhaps going to maybe trade a little bit more slowly in terms of the renewables build-out. But I just wondered if you could sort of reflect on how that's gone so far and then how that's shaping your thinking for taking the business back in-house and sort of maybe positioning it more towards 2025, which I guess is always going to be the sort of inflection year in offshore wind?
John Evans: Yes. I think two things to think about here. We are very, very clear, and I think the world is very, very clear. The offshore wind will be a very, very major part of the energy supply position for the future. The question is the timing of which that comes together. And when we initially did the Seaway 7 OHT transaction, it was around quite quickly being able to put that business on to the main Oslo Bors and to create a free float. As we've seen in the last couple of years, the whole industry, be it ourselves, be it our peers in our sector or be the turbine manufacturer or even some of the developers, have seen that there are challenges in the growth of that industry, the explosive speed of that growth is also bought many challenges. But we believe in the long-term that there is very much a role for companies like Seaway 7 supported by Subsea 7 as parent to really, really make its market in that space. So for us, it was about a timing question. We reflected on the fact that our view of creating a free float, that is a material free float on our business was not going to happen in the next 1 or 2 years as far as we could see. So, bringing the business back inside Subsea 7 was a good move. However the market was valuing the remaining stock, we believe undervalues Seaway 7's earning capacity in the future. And so for us, we decided to make the offers that we made to bring it back into the business. And let it grow and let it get it's good years in the market as part of the fully-owned Subsea 7 business.
James Thompson: Okay. Thank you so much. And just maybe finally for me. Could you maybe give us an update in terms of your thoughts on timing of conversion of some of the pre-backlog stuff for Seaway 7, obviously, coverage is relatively light, but there's a lot of orders in hand. So, would be good to just get a feel for your expectations in this quarter or next quarter or just some guidance there about when we might see some conversion. Thanks.
John Evans: Yes. As I said in my prepared remarks, one of the challenges in renewables, that's also subject to a number of regulatory and governmental influences. I think it's fair to say that in the U.K., the CFD around last year that generated the opportunities for these projects to go to sanction. There seems some quite heavy squeezes the cost of money for our developers has gone up. We have some protection mechanisms about what is the true cost of materials, but also pass cost increases through. So, our clients are going through those processes now as to how they sanction those projects, we would expect to see some progress on those in the first half of this year.
James Thompson: Okay, great. And thanks for providing the medium term guidance as well on margin. That’s helpful. I’ll hand it over.
Operator: We're now going to proceed with our next question. And the questions come from the line of Haakon Amundsen from ABG. Please ask a question.
Haakon Amundsen: Yes, thank you. Good afternoon, guys. I have a question on the medium-term investments that you may conduct on. I was just wondering on the two segments. First of all, how will you address the possible tight market on the Subsea and Conventional side? Do you expect to potentially resolve that through leasing of vessels or available vessels in the market today or would you ever consider kind of growth investments in Subsea and Conventional? That's my first question. And on renewables, when you complete the current new-build program, do you expect to invest in new vessels in the medium-term? Thank you.
John Evans: So Haakon, thanks for the questions. We normally attach a fleet listing at the back of these earnings release, and you'll see that there are four more leased vessels in our fleet, compared to where we were last year. So, we have chartered Jones Act compliant vessels to make sure we have the capacity to direct vessels to support our activities in the Gulf of Mexico, as well as a lighter/medium construction vessel also coming into the fleet. So for ourselves, we continue to have the model that we've used for many years here, which is the whole enabling assets into charter then in the market, the other additional tonnage that we need to bring. And that is the way I think we will see our oil and gas business continue to move over the next few years. In Renewables, we have a plan to finish off the Ventus and the Alfa Lift. And then we have a plan to make sure that our business returns money to its shareholders and shows to us that the commitment that we're making can return into more turns for shareholders. So, our view at the moment is that we have no near-term plans to either on the oil and gas side or the renewables starting to continue to invest in the medium term. We talked previously that our priority is to look at shareholder returns and making returns to our shareholders and hopefully good years they'll come out in 2024, 2025, and 2026.
Haakon Amundsen: Okay. That’s very clear. That’s it for me.
Operator: We are now going to proceed with our next question. And the questions come from the line of Nikhil Gupta from Citi. Please ask your question.
Nikhil Gupta: Hi. My question is around the medium-term guidance on 15% to 20%. So, one is, how – should we expect that level to reach in 2024, 2025 or beyond that? And secondly, does this include – is it a combined guidance for including offshore wind projects as well or just Subsea?
John Evans: The guidance is for the group, and we would expect to be towards the higher end of that guidance by 2025, but we're going up sequentially year-on-year. And as I said in my prepared remarks, we've got some better margin work coming in through the more recent work, but we've also got to liquidate a lot of work that we took a couple of years ago when margins were tightened.
Nikhil Gupta: Okay. Thanks. And just a follow-up on the order intake. I mean is it prudent to assume like the 2023 to 2025 intake would remain around the 2022 levels, higher levels in the near term or…?
John Evans: It's important to remember that 2022 had the Norwegian effect, which we've been guiding the market for 18 months, which is that every project that, for its PDO paperwork into the government by the 31st of December, had the benefit of a tax break. We won't be seeing that repeating. So, I do expect the rest of the market to respond reasonably well, but I think we need to recognize that there was quite a surge in Q4, which we certainly got our share of them. We're very, very pleased to have got that share, but that will not repeat on an ongoing basis. I think the Norwegian government have been very clear that it was a one-off initiatives that they had made to support the industry primarily group [indiscernible], but that will not repeat.
Nikhil Gupta: Understood. Thank you. I’ll turn it over.
Operator: We are now going to proceed with our next question. The next questions comes from the line of James Winchester from Bank of America. Please ask your question.
James Winchester: Just a quick two for me, if that's okay. On your 2023 EBITDA guidance, is there any change from your comments from last quarter relating kind of being happy with the kind of $650 million ballpark or is anything kind of incrementally better or worse from that? And then following on from that, could you provide, kind of an EBITDA to free cash flow bridge for 2023? I was kind of primarily interested in the working capital number because you haven't had to build that you expected? Is that because of better terms elsewhere or is it kind of pushed into 2023? And I'm sorry, kind of adding on that. Can you provide some color on the lease payments as well? Thank you.
Mark Foley: Hi, James. This is Mark. In terms of your first question on the EBITDA guidance, we publish consensus on our website, as you know. And we're comfortable with consensus if we weren't – we will be obliged to come to market and say so. In terms of EBITDA to free cash flow, John and I have been consistent now over several quarters, talking around the cash consumption activities that we have in 2023, two of those impact on free cash flow. The first is the move [indiscernible] we expect it to be the working capital build in 2022 into 2023. And similarly, the investment in the business, notably on the Seaway Alfa Lift and the Seaway Ventus. So, those will weigh heavily on our free cash flow in this year. So, hopefully, that answers your question.
James Winchester: And just on the lease payments. Are we going to see an uptick there or should we kind of keep it [indiscernible]? Thank you.
Mark Foley: In terms of working capital?
James Winchester: Just on lease, yes.
Mark Foley: Lease payments don't form part of free cash flow, as you know, James, but the lease payments will be slightly higher than those experienced in 2022.
James Winchester: Brilliant. Thanks very much.
Operator: We are now going to proceed with our next question. And the questions come from the line of Christopher Mollerlokken from SpareBank 1 Markets. Please ask your question.
Christopher Mollerlokken: Yes, good afternoon gentlemen. In terms of the contract terms you are experiencing, you are quite vocal at pricing and margins have improved, but giving you some flavor on how other contract terms have developed in terms of payment schedules, risk sharing, et cetera, with regards to you and your clients? Thank you.
Mark Foley: Yes, the way that we talk about alert in terms of quality is threefold. Firstly, we are seeing gradual improvements in pricing. However, as you know, it would be remiss not to overlook the best on this allocation, but we've been able to negotiate with our clients as a result of the market becoming tighter. So, clearly, that's an often overlook that we can leverage as the positioning of ourselves with respect to the clients in the market improves. Recently, at the downturn of the market, we seeded certain payment terms. So, we aim to have cash neutrality of cash positivity during the life cycle of the project. And what we're seeing now as the pendulum swings from the client back in favor of the contractor, we're able to improve the payment conditions. Notably, that is larger milestones set in the life cycle of the project, which contributes to an overall cash profile, which is superior to what we've seen in the recent part.
Christopher Mollerlokken: Thank you. In terms of the geographical exposure in Subsea 7, of course, you're a global player, but in my view, a three key markets remain: Norway, U.K., and Brazil. With Norway activity now being record high due to the tax incentives that were introduced during COVID, U.K. recently introducing a new tax on the E&P industry. And Petrobras being hammered after the political election in Brazil last year. Do you see that your clients are skewing more towards Norway and other geographies versus U.K. and Brazil?
John Evans: Well, first of all, I think we try in Subsea 7 a reasonably good balance of work. We do about half of the work in the U.S., Gulf of Mexico, and in the Caribbean. So, we did about half in a month. We are strong in Brazil. We're very strong in Norway. So, we have a good spread. We are strong in Australia, Africa, when in response, we are there as well. So again, for us, we are very comfortable with the spread and it's quite a deliberate spread of clients and geographies that we have to allow us to grow our business and adapt as the opportunities arise. We then look at wind then. That's primarily German, Dutch, British, American business there as well. In terms of each country, I think I've given my comments on Norway. Norway is a very important market, always has been for us. And I think we are very pleased with the share of the market picked up. Brazil, whichever way the political changes occur, the oil and gas industry in Brazil was absolutely fundamental to that country's success. And the machine that is Petrobras keeps working and keeps moving and keeps adapting. It has its moments, but it continues directionally towards [where it’s happened.] [ph] And as you can see on that list of tenders and projects, they are there. They have been bid, and they are available to us to go and deliver. The one market that I would say that is not responding well at the moment is the U.K., and the U.K. has had two hits. It has struggled with a windfall tax in oil and gas and also windfall tax and a lot of issues with planning and grid connections in the wind sector. So, it's one of our markets where we are watching from a viewpoint that there are a number of things that be fixing in that market for it to come back to the strength that it was, but we are comfortable that Turkey and Guyana and other new markets are very much back filling that need. So, the U.K. teams are working on international projects or so. It's a change from where we've been. And that's the only one that I would call out as being one where influences outside the general price of oil and the price of electricity had an influence.
Christopher Mollerlokken: Thank you.
Operator: We are now going to take our next question and the question comes from the line of Mark Wilson from Jefferies. Please ask your question.
Mark Wilson: Thank you. Good morning. First question, just a follow-on from previously, someone asked about the 15% to 20% EBITDA guidance. You said you expect to be at the higher end of that range by 2025. Could you just confirm, John, what their offshore wind margin expectations are within that? Now, you're taking Seaway back in-house. Are we still looking at a 10% margin on $1 billion of sales?
John Evans: Mark, we gave you that number as a group number, and that's what I'd like to leave it for today.
Mark Wilson: Okay. Very good. Then the second question is, could you just help me out on the math regarding one of your projects, big offshore wind on the Dogger Bank. You've done 17 foundations and started offshore works in July and stood down the Strashnov for winter in December. So that's 4 or 5 months, and you've done 17 foundations. If I extrapolate that forward, you can see where that project time line looks. Could you explain what I'm missing on that simple math there, please?
John Evans: Well, all our projects work on cost on cost percentage of completion is how we account for all our projects to take the total cost of the total project. And then you work out how much cost you've incurred to date, and then you will be back through. So, we've had all the project management, the engineering, marshalling yards, the mobilization of the vessel, the start of the work, et cetera, that goes with it. And all that has been put into the [pot calculation] [ph], and that's where we're at the moment in terms of where we will be. And generally then the next phase of this project, the vast bulk of putting in the piles will achieve up to something like 95% of the [pot] [ph]. So, that's how all our projects work. It's the way the accounting rules require us to measure our projects, and so it's being through the auditors and stuff. But yes, and we'll be back out again in April, and we'll continue a full season of work with Strashnov this year. And that's how we will look at it [AMP] [ph]. 
Mark Wilson: Thank you. I mean it wasn't actually the accounting. I was asking about the 33%. It's actually the time, John. And just 17 foundations in – since July and you're backing out in April. So, I just wondered how long that project is expected to take?
John Evans: We did it in two parts. We bought a third-party asset in for less than a month to do part of it, and then we came in at the end of Hollandse Kust and did some work before the winter season closed down on us. So, that’s how we [achieved 17] [ph]. So when we get the full run of it, if you look at Hollandse Kust, we did over 100 monopiles after the Strashnov once we got better them and started. So again, we expect to see very similar performance coming through the season this year.
Mark Wilson: Okay. Very good. Thank you.
Operator: We are now going to proceed with our next question. And the questions come from the line of Daniel Thomson from BNP Paribas Exane. Please ask your question.
Daniel Thomson: Hi, good afternoon. Two from me, please. Firstly, on the outlook you provided, the 15% to 20% EBITDA. I was just wondering, are you assuming that leading-edge pricing stays roughly where it is today or do you factor in some level of pricing improvement into that outlook? And then secondly, given there are many more opportunities to tender in your oil and gas market today, should we expect any change in the mix of work you're targeting between [Subsea] [ph] and Conventional? Was that more just a function based on your vessel capabilities in these markets? Thanks.
John Evans: Yes, Daniel, the way we talk about our business is incrementally project-by-project as capacity gets taken out of the market, whether it's ours or our competitors allows us to price the next portion of work generally better per season per individual year that we work in those key markets. So for us, it's an incremental change. It's not a huge step change that we see and is very much done on where do we think the pricing can absorb in each market. So, we still will continue to seek improvements. But also we have some very, very smart buyers here that will keep you all in the ground a good thing the pricing gets too high and the economics doesn't work for them. So – and we've seen one or two projects go through that recycling as our clients call them, where they take it back in again and see whether they had the right way to develop that particular field or the timing in which they do that. In terms of the opportunities for the mix of work, I guess the one area that would call out is the conventional work in the Middle East was very, very quiet during COVID. COVID had a distinct impact on spending with Saudi Aramco, spending in Qatar. We have certainly seen the messaging back from the key Middle East clients that they are back to spending. I referred in my prepared remarks, the long-term agreement. We have announced [ agreement ] with Saudi Aramco. And currently, we're bidding a number of what we call call-off agreements to do with that. So, I can see that our conventional work will pick back up again and bring profitability back in. And for us, the key aim is to work our key served assets in certain geographies and maximize the number of days, they're working to minimize the number of days they're transiting. That's our objective in the two different markets. And as I said to an earlier question, we have [bought in four] [ph] chartered assets into the fleet to, again, free up our enabling assets to do exactly what they're designed to be, which are enabled at the very top end, which, again, allows us to bring more capacity into the industry for us as well.
Daniel Thomson : Okay. Thank you.
Operator: We have no further questions at this time. I would now like to hand the conference back to John for closing remarks. Thank you.
John Evans: Well, thank you very much for joining us here today. We know it's a very busy day with a lot of other companies are reporting, and we look forward to talking to you soon when our Q1 results come out in a few weeks' time. All the best. Thank you. Bye.
Mark Foley: Bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect your lines. Thank you.